Operator: Welcome to the Sallie Mae Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Kate deLacy, Senior Director and Head of Investor Relations. Please go ahead.
Kate deLacy: Thank you, Chloe. Good evening, and welcome to Sallie Mae's Third Quarter 2025 Earnings Call. It is my pleasure to be here today with Jon Witter, our CEO; Pete Graham, our CFO; and Melissa Bronaugh, Managing Vice President of Strategic Finance. After the prepared remarks, we will open the call for questions. Before we begin, keep in mind our discussion will contain predictions, expectations and forward-looking statements. Actual results in the future may be materially different from those discussed here due to a variety of factors. Listeners should refer to the discussion of those factors in the company's Form 10-Q and other filings with the SEC. For Sallie Mae, these factors include, among others, results of operations, financial conditions and/or cash flows as well as any potential impact of various external factors on our business. We undertake no obligation to update or revise any predictions, expectations or forward-looking statements to reflect events or circumstances that could occur after today, Thursday, October 23, 2025. Thank you. And now I'll turn the call over to Jon.
Jonathan Witter: Thank you, Kate and Chloe. Good evening, everyone. Thank you for joining us to discuss Sallie Mae's Third Quarter 2025 results. I hope you'll take away 3 key messages today. First, we delivered a successful quarter and peak season. Second, we're pleased with our year-to-date performance and believe we have real momentum that will carry us through the rest of the year. And third, we're optimistic about the long-term outlook for private student lending and the growth of Sallie Mae. Let me begin with the quarter's results. GAAP diluted EPS in the third quarter was $0.63 per share. Loan originations for the third quarter were $2.9 billion, representing 6.4% growth over the year ago quarter and 6% growth year-to-date. We were pleased to see that the credit quality of originations remain strong, showing incremental improvement year-over-year and steady but meaningful improvement over the last several years. Our cosigner rate for the third quarter was 95% compared to 92% in the year-ago quarter and the average FICO score at approval increased to 756 from 754. These indicators reflect continued discipline in our underwriting standards. We have continued to see positive momentum in our credit performance. Private education loan net charge-offs in Q3 of '25 were $78 million, representing 1.95% of average private education loans and repayment, down 13 basis points from the year ago quarter. While we are certainly living in a period of economic ambiguity, we have not observed any material change in our borrowers' ability to meet their obligations to Sallie Mae. During the third quarter, we successfully completed the previously announced sale of approximately $1.9 billion in loans, generating $136 million in gains. We continued our capital return strategy in the third quarter, repurchasing 5.6 million shares at an average price of $29.45 per share. Since initiating this strategy in 2020, we have reduced our outstanding shares by 55% with an average price of $16.75. Pete will now take you through some additional financial highlights of the quarter. Pete?
Peter Graham: Thank you, Jon. Good evening, everyone. Let's continue with a discussion of key drivers of earnings. For the third quarter of 2025, we earned $373 million of net interest income. This is up $14 million from the prior year quarter. Our net interest margin was 5.18% for the quarter, 18 basis points ahead of the year ago quarter with 13 basis points behind the prior quarter given the drag from the initial liquidity that we hold to satisfy the requirements of peak season. We continue to believe that an annual NIM target in the low to 5% range -- low to mid-5% range remains appropriate over the longer term. Our provision for credit losses was $179 million in the third quarter, down from $271 million in the prior year quarter. This was largely due to $119 million of provision release resulting from the third quarter loan sale. Our total allowance as a percentage of private education loan exposure modestly improved to 5.93%, slightly below the prior quarter's 5.95% and just 9 basis points above the year ago quarter. The change from the year ago quarter results from a few factors. As we noted last quarter, the Moody's economic forecast that we use in our CECL models have deteriorated, driving a significant portion of the increase to our allowance. This model-driven impact was partially offset, however, by continued improvements in our credit performance and portfolio quality. At the end of the third quarter, 4% of private education loans and repayment were 30 days or more delinquent, up from 3.6% at the end of the year ago quarter. It's important to note that this year-over-year increase is largely attributable to changes we made last year to our loan modification eligibility criteria. Specifically, since October of last year, we've restricted loan modifications to those who are at least 60 days delinquent. This change was purposeful based on our observation that many early-stage delinquent borrowers tend to self-cure without intervention. We believe that approximately 25 basis points of delinquencies this quarter can be attributed to borrowers who would have qualified for a modification prior to entering our reported delinquency buckets under the prior eligibility criteria. Importantly, we've seen stability in our late-stage delinquencies and roll rates. Our loan modification programs continue to deliver strong results. When we look at borrowers who have been in the programs for over a year, 80% are consistently making payments. Additionally, following the previously mentioned change, monthly loan modification enrollments declined and have now stabilized around half the level that they were prior to the change. We continue to believe that our loss mitigation programs are helping our borrowers manage through periods of adversity and establish positive payment habits. Third quarter noninterest expenses were $180 million compared to $167 million in the prior quarter and $172 million in the year ago quarter. This aligns with our full year outlook and positions us well as we head into the final months of the year. And finally, our liquidity and capital positions remain strong. We ended the quarter with a liquidity ratio of 15.8%, total risk-based capital was 12.6% and common equity Tier 1 capital was 11.3%. We're encouraged by the exciting opportunities ahead as we continue to grow and evolve our business, enabling strong return of capital to shareholders moving forward. Now I'll turn the call back to Jon.
Jonathan Witter: Thanks, Pete. I hope you share my belief that our third quarter performance reflects strong execution and positions us well to sustain momentum through the remainder of 2025. As we look ahead, we're optimistic about the impact of recent federal reforms and the opportunities they create for our industry and for Sallie Mae to better serve students and families. As the leading private student lender, Sallie Mae is well positioned to support them through this transition. At the same time, we recognize that these changes create new challenges for our school partners. We are proud to be working closely with many of them to design innovative solutions that help ensure students can access and complete their desired degrees. In parallel, we have been actively exploring alternative funding partnerships in the private credit space to expand our ability to serve students. We expect to announce a first-of-its-kind partnership in the near term, and we'll share more details soon after. We view this as a strategic step toward unlocking the value of our attractive customer base, setting the stage for sustainable growth of capital-light fee-based revenues. We are looking forward to sharing more at a second investor forum later this year. Let me conclude with a discussion of 2025 guidance. To kick off this partnership, we anticipate selling both a small portfolio of seasoned loans and a portion of our recent peak season originations either in the fourth quarter or early in 2026. Accordingly, we expect to designate a portion of our loans as held for sale prior to the end of the year. As a result, we now expect our GAAP earnings per common share for 2025 to be between $3.20 and $3.30. At the same time, we are reaffirming all other elements of our 2025 outlook, including originations growth, net charge-offs and noninterest expense metrics, reflecting continued confidence in our strategic trajectory. With that, Pete, why don't we go ahead and open up the call for some questions?
Operator: [Operator Instructions] Our first question is coming from Moshe Orenbuch with TD Cowen.
Moshe Orenbuch: Great. I guess maybe 2 thoughts and questions. The first, I guess, is, is there a way to kind of think about the performance of the current delinquency out a little further than the end of the year. I guess, I know it's not your custom to give guidance past the current year, but -- and we've looked at roll rates and we see that they've gotten somewhat better, but there has been some concern about the level of delinquency. So could you -- is there any way to kind of give us a sense as to how you expect that -- the current book to perform over the next several quarters?
Peter Graham: Yes, Moshe, it's Pete here. I think, look, we've been really pleased with the performance of the loan mod programs. We are encouraged by the stability we've seen in terms of new entrants to the programs that we've seen over the last few quarters. Given the seasonality of our business, yes, early-stage delinquencies ticked up a little bit in this quarter, but we don't view that as anything troubling in terms of longer-term trends. And we expect to continue to see stability in the late-stage delinquencies and our roll rates. And so we're comfortable with the guidance we've given through the end of this year, and we continue to believe that, that kind of high 1s, low 2% net charge-off rate is the right way to think about us over a longer term.
Moshe Orenbuch: Got it. And obviously, your new partner in terms of this sale is obviously also, I would assume, given that some thought. Is there any way to give us any further texture around how to think about that sale and how -- what the terms would be like?
Peter Graham: Again, we're still in final -- sort of the final stretch of the deal coming together, and we'll release appropriate level of detail when we complete that, and we look forward to talking in more detail about what that means for the future as we go into the investor forum, as Jon said.
Operator: We'll take our next question from Jeff Adelson with Morgan Stanley.
Jeffrey Adelson: Just wanted to circle back on the modification question. Listen, I recognize that the pace of modifications has slowed. And if we look at the 10-Q disclosure on the payment status table, the volume of modifications over the past 12 months has come down a lot. But if we do look at that table, it does seem like there's a higher percentage of 12-month mods rising on a delinquency basis. So just maybe some color there. And how are you thinking about the roll-off of those modifications as borrowers are graduating out over the next 12 months?
Peter Graham: Yes. Again, we're happy with the performance of people in the mods. For those that have been in for 12 months or longer, there's strong sort of payment patterns amongst that cohort. And we believe that these programs have been successful in helping people through a period of stress and to establish positive payment patterns. And so we're optimistic as we look to those sort of first graduating wave from these that will have a high degree of success, and that's something that we're keeping an eye on.
Jeffrey Adelson: And just on a partnership opportunity, any sort of early details you can give us ahead of the Investor Forum later this year, just maybe any sort of insight into the economics, length of the terms? And are you going to potentially be starting to use some of the current book? Or will that be more for the forthcoming opportunity with Grad PLUS going away? And just any sort of like high-level commentary on how that might shift economics.
Peter Graham: Yes. Again, we're close to being done, but we're not done. So I can't share too much detail. We've said pretty consistently that we were looking to establish a multiyear arrangement with a strategic partner and that still holds true. I think if you consider Jon's comments around our revision of guidance, the fact that we're designating a portion of our portfolio of loans as held for sale as we go into the fourth quarter, that's an indicator that we have loans in the current book that are going to be part of it.
Operator: We'll move next to Mark DeVries with Deutsche Bank.
Mark DeVries: I have a follow-up question on Moshe's first question about kind of the outlook for credit, given where we are with the delinquency trends. I mean I get that -- I think you indicated roughly 25 basis points of the delinquencies are due to kind of changes in eligibility for the loan mods, but that would still imply we're kind of up year-over-year on -- I think you commented on stable, not necessarily improving roll rates. So is it still right to assume that delinquencies at best or kind of I mean, charge-offs as we look forward, are going to be kind of flat, if not slightly higher, just given we're up year-over-year on delinquencies net?
Jonathan Witter: Yes, Mark, it's Jon. I'm not sure I have a lot to add over what Pete said to Moshe. But look, I think if you look at the overall delinquency trend, I think the change in program terms really accounts for the majority of the change in delinquency rate year-over-year. We obviously have a methodology for figuring that out that points to the specific cases that we know with certainty. By the way, there's a sort of confidence band around that, it could be even a little bit higher. But I sort of consider delinquencies to be sort of plus or minus flat within sort of normal operational variability that we're seeing in the book. And I think as Pete said, we feel pretty comfortable about the roll rates being consistent and flat and the performance of the mod. So as I mentioned, we are certainly in an ambiguous economic environment. It's hard to make predictions now 15 months out if you start to think about the end of next year. So we're not going to do that here today. But I think we continue to feel confident in sort of the long-term through-the-cycle sort of metrics that we laid out before, the 1.9% to sort of 2.1% numbers that have been commonly cited. And I think we believe that we're delivering on those commitments pretty well and are excited to continue that progress next year.
Mark DeVries: Okay. Fair enough. And then just turning to, I think the marketing strategies that you talked about being kind of the reason that you had to kind of reduce the origination guidance for this year. Are these strategies that you've kind of revisited and potentially looking for ways to kind of reaccelerate origination growth as we look into 2026?
Jonathan Witter: Yes. I mean, I think, Mark, a couple of thoughts. One, I think we put up over 6% origination growth for the quarter year-over-year. That's really strong and I think attractive origination growth that I think probably fares and compares well with what a lot of other consumer credit-oriented companies would do. So one, I don't think we're making any apologies for the level of originations growth that we've seen. Two, as I think Pete shared at a conference earlier this fall, there's gives and gets every year in how we think about originations growth. We, every year, strive to be better, more efficient, more effective in our marketing. I think we've done that. You've seen that in our cost of acquisition coming down over time. We've also been really thoughtful about ways that we can continue to hone and refine our underwriting models to make sure that we are sort of getting the very best type of customer that we can and the ones that will really maximize our ROEs. And I think Pete shared that over the last 3 or 4 years, we've taken rough justice, $600 million to $700 million a year out of our annual originations. So the growth rates that we're talking about, which I think are really attractive growth rates are happening simultaneously to us improving pretty dramatically the quality of our originations. I think that's a trade our investors really do like and should like. That's value creation. I think this year, we had a plan that we thought would get us to slightly higher originations growth in light of the headwinds of sort of those underwriting changes. I think we executed most of it. We didn't quite get all of it. But again, I think we believe we are on a trajectory, and we've built a marketing machine that will allow us to continue to sort of maintain and at times, potentially grow our already industry-leading market share. We see no reason to believe that we won't continue our successful growth next year. And we look forward to not only competing for the traditional business we have, but quite frankly, also competing very hard for the emerging PLUS opportunity as it unfolds.
Operator: We will take our next question from Terry Ma with Barclays.
Terry Ma: Just wanted to follow up on credit. If I just think simplistically, historically, there's a positive correlation between delinquencies and net charge-offs. So when you sit here today and look at the 4%, like any color you can kind of give us on, like why that wouldn't kind of imply maybe higher charge-offs for 2026?
Peter Graham: Yes. I think I covered it in my prior comments, Terry, that like we feel like the combination of the loan modification programs we put in place are going to behave as we intended them to do when we designed the programs. And what we're seeing so far with those programs is that we've got stable levels of late-stage delinquency and the roll rates are stabilized as well. So like that's our expectation going forward. Again, barring any exogenous sort of market event, we feel like we're set up for success there. And we reconfirmed our guidance for this year, and we reconfirmed our longer-term read on destination net charge-off range. I'm not sure what more we can say.
Terry Ma: Okay. Fair enough. And I guess, like in your deck, you mentioned Grad originations are up 11% year-over-year. Any color you can give us on kind of what's driving that, whether it's behavioral changes from borrowers as a result of the bill that passed earlier? Or are you just kind of gaining share?
Jonathan Witter: Terry, we won't have share numbers for the quarter for probably another month plus on that. We have always had a grad business. It is one that in the grand scheme of all the grad business out there was relatively small because of the Grad PLUS position from the government. There were only pockets where we felt like we could really profitably compete with the Grad PLUS program. We have obviously, since PLUS reform was announced, started to pay a lot more attention to the opportunities to innovate in our graduate marketing. I think we felt like it was important to sort of continue to break out our sort of Grad performance. And so my guess is the result is probably in part the change of a little bit of customer behavior. I think we don't quite know that yet, but it wouldn't surprise me. I think it's also just a focus of us beginning to gear up and get ready for what we think will be a much larger opportunity ahead. But we see it as an exciting opportunity for us, not only in next year's volume, which given the phase-in of the PLUS reform is going to be smaller, but really playing out here over the course of the next couple of years.
Operator: We'll move next to Don Fandetti with Wells Fargo.
Donald Fandetti: In terms of the recent credit and ABS market volatility, do you think that's going to impact your gain on sale margins for the Q4, Q1 production? And is the 7% this quarter sort of a good base level run rate?
Peter Graham: Yes. I think what I would say there is, there's different phases in the cycle. We've done over time, pretty successful loan sales over a multiyear period in kind of that sort of mid- to high single-digit range. Sometimes we've gotten above that. Sometimes we're a little below that. But I think it's really tied to kind of where spreads are in general at any point in time when we're executing a trade. At the margins, it can also be impacted by the implied structure that the purchaser is intending to use for their leverage takeout as well.
Operator: We'll take our next question from Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Pete, I just want to make sure I understood sort of the fourth quarter impact on moving those loans to held for sale. Does that mean that you sort of recognize -- do you move provisions over? I'm just trying to think about like it has an earnings benefit, correct? It's not the actual gain on sale that you recognize.
Peter Graham: Correct. So when you -- the accounting for held for sale, it is essentially a lower cost of market. So to the extent you expect a premium, you don't really have a change in the value of the loans themselves. You can continue to carry them at their sort of par basis for lack of a better term. And then to the extent they're in held for sale, you don't have to put a CECL provision against them. So the impact that we've reflected in our updated guidance is the release of that provision.
Sanjay Sakhrani: Got it. And is there any way to sort of dimensionalize that as far as sort of what the contribution was to the annual guide?
Peter Graham: Again, you need to know the exact amount of loans that have been reclassified, which we haven't disclosed. And it's roughly the CECL reserve rate that we talk about each quarter that gets released.
Sanjay Sakhrani: Okay. You guys haven't disclosed that yet what you've reclassified?
Peter Graham: Correct.
Sanjay Sakhrani: Okay. And then, Jon, just one follow-up on this repayment wave that's coming through in November. Obviously, lots of discussion about graduates and the challenging job market. I mean, is there any -- I know all the commentary that you have was pretty constructive in terms of what you're seeing. I mean, do you guys have any foresight into sort of how those cohorts will behave as they come into repayment? Or is that sort of a point of scrimmage type of event?
Jonathan Witter: Yes, Sanjay, great question. And look, I read all the same stories that I'm sure you and others read and sort of see the same facts. Let me see if I can paint a little bit of a picture here. But I would start by saying the period where students graduate and transition into their adult lives, we know is -- always has been, and I suspect always will be one of the most difficult periods in sort of their life. And that's reflected by the fact that rough justice half of all financial distress that we see, and this has been true, Sanjay, for many, many years, happens in that first year or 2 after they finish their higher education experience and enter repayment. So this is always a time where unemployment is higher. This is always a time where financial distress is a little bit higher. And by the way, that's our business. That's why we've built the programs we've built. That's why we're really expert in sort of understanding how to market to and educate our students and their cosigners about the transition to higher education and the like. It's a known period of sort of performance importance for us. So that's sort of thought number one. Thought number two is if you go back and you look at what's been going on with early graduate unemployment rates. So think about students who are sort of 20 to 24 years old. And if you take out the COVID year or 2, which was obviously unusual, what we have seen for the last 3 or so years is early kind of graduate unemployment rates are slightly elevated from where they were pre-COVID. What's really interesting is despite all the stories of sort of a gloom and doom for the current graduating class, the current unemployment rate for early-stage graduates is only up about 10 basis points over last year. And that's even smaller on a percentage basis than what you might imagine. And I'd encourage you to go back and look at the data for yourself. And so while I said earlier in my prepared remarks that we are certainly living in, I think my term was ambiguous economic times, I think I was also pretty clear in saying we just haven't seen that yet in our operating results. Now as the leader of a credit-oriented company, I'm not ever going to tempt fate by sort of trying to predict what the future economic environment is going to be like. But I think we would say the unemployment story is always a challenge. We are really well prepared and suited to manage it. The impacts year-over-year, I think, are not what maybe is the popular perception out there and I think sort of the data tells a pretty clear story. And we haven't seen it in our performance, but we're not taking that for granted. We are continuing to work really constructively with our borrowers. We're continuing to up our outreach program for soon-to-be graduates to really help ease their transition into repayment because we do view this as a really important performance moment for us and really more importantly, a really important moment for our students and their families and helping them be successful in this transition.
Operator: We'll move next to Rick Shane with JPMorgan.
Richard Shane: A couple of things. Look, the decision to sell loans in the fourth quarter, doing some rough math, it looks a little bit different from what you guys outlined strategically 2 years ago in terms of growing the book a little bit faster and reducing or at least keeping flat the actual dollar volume of loans sold. So I'm curious sort of what shifted in your thinking there. And then I want to make sure I understand the answer to Sanjay's question because it sounds like there are basically 2 scenarios here. One scenario where loans are held for sale, you release the reserves, but you don't recognize the gain on sale. Second scenario is you complete the sale and you get both the gain on sale and the reserve release. Given where gain on sale margins are, it would seem that the variance between those 2 scenarios is significantly more greater than the variance between the high end and low end of your guidance. And so I'm trying to make sure I understand this fully.
Jonathan Witter: Yes. Rick, let me take those in reverse order, and I'll invite Pete at the end to jump in if I miss anything. We have not assumed anything in our guidance about a gain on sale. I think we said very clearly that the actual loan sale would happen either in the fourth quarter or in the first quarter. We don't know that timing yet. We felt like it was inappropriate for us to incorporate the gain into our outlook. So there is nothing about the gain in our guidance. I think what we said was we expect to sort of conclude and to hopefully sign this deal here in the near term. When we do, we will identify the loans that will be a part of that sort of initial deal. And as I think is appropriate and good accounting, we will, therefore, start to account for those loans differently at that time regardless of whether or not the actual closing date for that sale has a '25 handle on it or a '26 handle on it. So hopefully, that sort of answers your question. And again, we've tried to be as clear as we can be about that so that you can model it appropriately. I think in terms of your question -- I'm sorry?
Richard Shane: I was going to say that's helpful. Basically, the reserve release is contemplated in that guidance, but you're not embedding a gain on sale. If the deal closes in the fourth quarter, it's probably upside to the number?
Jonathan Witter: Correct. In terms of your question of sort of what strategically has changed, I think the answer in short form is nothing, but I think it's a little more complicated than that. We are still very, very committed to the strategy that we -- the general strategy that we laid out at the Investor Forum 2 years ago, December, which is the idea of modest balance sheet growth in the bank, using loan sales to moderate that growth, still have aggressive return of capital and so forth. What I think has changed since then is really 2 things: one, PLUS reform, which if you look at it when fully implemented, has the opportunity to increase our annual originations meaningfully, and I think we've given all those numbers on past calls. The other is both the growth in sort of size and sophistication of private credit and sort of our ability to think about creating a new sort of third funding leg of the stool, if you will, and sort of a real business around that. And so our view is at one end of the spectrum, you've got growing the bank balance sheet, and that comes with really stable, high-quality earnings, but it also has a fairly high and heavy capital requirement to it. At the other end of the spectrum, you've got our traditional loan sale program, which we still really like which is attractive earnings economics but -- and very attractive sort of capital characteristics, but a little bit more volatility in the earnings. I think you heard Pete talk about that a minute ago. I think what we believe we have the opportunity to create is something that's a little bit in the middle that has the potential of having sort of more stable long-term earnings. I think we've talked about this over time, the kinds of things that would be easier to sort of model and manage, think about it almost in a sort of asset under management kind of construct. At the very same time, really attractive sort of capital characteristics that go along with that. And Rick, you've known us long enough to know that we really care about capital efficiency and capital return as sort of our North Star. And so I think what you're hearing us talk about and you've heard us talk about for the last 3 or 4 quarters, is we're excited about building sort of that third leg to our stool. And I think this is the right time for us to do it as we're sitting here on the eve of PLUS reform beginning. Yes, that probably will cause us to think a little bit differently about balance sheet growth levels here over the next several quarters as we get that up and going. But make no mistake, nothing has changed in our strategy, except we have an exciting third opportunity, which should only make it better.
Richard Shane: Got it. Okay. I suspect we'll see a slide on this in a few months.
Jonathan Witter: I would hope so.
Operator: We'll move next to Giuliano Bologna with Compass Point.
Giuliano Anderes-Bologna: I appreciate a lot of the commentary around the new program. Maybe touching on the -- on that program and a little bit of the accounting around that. I'm curious when you talk about the loans that are being moved to held for sale, is that just for the initial sale that you're planning? Or is there -- or will you continue to roll loans into held for sale as you kind of keep executing to the program? Or will those go up more similarly to the current loan sales?
Peter Graham: Yes. So the idea and the intent is to create a multiyear partnership arrangement. The specific loans that we've identified are sort of the start of that relationship. And so over time, we would have ideally some portion of our new originations that would go into this new partnership.
Giuliano Anderes-Bologna: That's helpful. So we should see kind of an ongoing flow of loans that just go directly into held for sale at lower cost of market going forward. And then when I think about the -- I realize that there are limitations in terms of how much you can say, but in order to kind of get within the guidance range, it seems like it's -- you need to have a number that's well into the $1 billion, even close to $2 billion that would have to move to held for sale in terms of the reserve releases. Is that wildly off base? Or am I thinking about the right ZIP code?
Peter Graham: I mean, again, the simple math would be our reserve rate times a notional number. So that's probably about all I'm comfortable giving you on the call.
Giuliano Anderes-Bologna: That's helpful. And then maybe just one quick one. I realize that the prior questions come up a few times. I mean there's obviously been a bit of a structural change in the way that you're approaching the forbearance modifications and how to deal with delinquencies. And we had all the commentary in terms of what you expect when it comes to the ultimate improvements. I'm curious when you think about the overall kind of accounting impact, is the kind of lower usage of forbearance and higher usage of modifications post-COVID or in the current time frame and going forward, something that will have a benefit when it comes to more -- less interest rate reversals and that might move around the actual delinquency rate and benefit charge-offs over time? Or is there a potential that charge-offs might be higher, but you have less interest rate reversals because you're getting more loans to reperform and still benefiting on a net basis?
Peter Graham: Yes. I think if you take a few steps back and you look broadly at our use of forbearance as a tool to manage the stress in the early-stage repayment portion of the book, the overall levels of people enrolled in that forbearance prior to our change in practice compared to the overall level of people that are now in the mod programs is relatively consistent. It's not exactly like-for-like, but it's -- on order of magnitude, it's pretty consistent. But what we substituted was sort of short-term and judgmental usage of forbearance to manage stress and forbearance, meaning no payments are required for a more programmatic tool that tries to adjust for where the borrower is in terms of their ability to make payments on the loan. And so we feel like these new programs that we have put in place are fit for purpose, so to speak. We believe that the metrics that we're seeing in terms of performance of the borrowers in those programs are promising and give us comfort that they're designed appropriately. And we believe that as these borrowers start to graduate out of those programs and step back into their contractual terms, we expect to see a high degree of success in doing that.
Operator: We'll move next to John Arfstrom with RBC Capital.
Jon Arfstrom: How are you thinking about buyback appetite at this point and the authorization as well?
Jonathan Witter: John, it's Jon. I think the way that I would say that is, first of all, we are delighted with how our buyback program has performed through the course of this year. If you look at the numbers we just announced, we were obviously very active in the marketplace over the last couple of months during this period of dislocation. And I think bought back stock on attractive terms and at prices that I think when we look back in a month or 2 or a quarter or 2, we're going to feel absolutely great about. We've obviously talked a lot about the partnership on this deal. We've talked a lot about sort of the various gives and takes to sort of our balance sheet and business model over the course of the next quarter or 2. I think our view is we will sit back as we get this partnership across the goal line. We will look at the exact timing of that. We will determine, therefore, what's our appetite to do sort of additional share buybacks, how much of that we're going to do. And we'll set up our plan to sort of execute that over the course of this and coming quarters. So I can't comment today any more specifically on what it's going to be. I think we have to get through a couple of these sort of moving pieces. But I think you should expect, as has been the case for the last 5 years, we remain really committed to buying back our stock aggressively. It's something that we feel is an important thing that drives shareholder value. And we'll continue to do so at the time and in the quantity that we deem to be correct.
Jon Arfstrom: Okay. Fair enough. And then just an optics question, the 4% delinquency rate. Is that a level that we should expect to continue to trend up over time? Or is it not clear? Or is that not the right way to really look at it?
Peter Graham: Look, I think that we're -- this quarter, in particular, is a seasonal sort of peak with the way that the repayment waves come through. And so I would expect this to be kind of a high point in terms of delinquencies in any given year. In terms of absolute levels, again, we're not as concerned about what the absolute level is. What we're concerned about is what are the late-stage delinquency levels, what are the roll rates and how does that implicate in terms of net charge-offs. And we feel really good about the programs that we've designed and how they're performing.
Jon Arfstrom: Okay. And then if I can ask one more, Jon, for you. Just very big picture. The noise is kind of deafening on consumer health and students entering the job market and delinquencies. Do you feel like we're all -- it's been a wild quarter in your stock. Do you feel like we're all too pessimistic on the credit outlook? Are we overreacting to it? Or do you have any thoughts on that, just bigger picture?
Jonathan Witter: Yes, John, I'm not sure I have a lot to add over the answer I gave earlier. I think we have seen a relatively de minimis change year-over-year in the unemployment rate of early college grads or young college grads, those kind of 20 to 24. I think I said in my prepared remarks that we have not yet seen this ambiguous economic environment translate into anything that we sense as an inability for customers to not meet their financial obligations and sort of commitments to Sallie Mae. It's a little bit hard for me to say whether it's overblown or not. I'll just say we have not seen -- we have not seen the results of some of the stories that have been put out there. And it's obviously something that we take very seriously, and we'll continue to watch for. But the time of college graduation is always associated with higher unemployment and a little bit more financial distress. And I'm not sure that we're seeing anything right now that's particularly out of the ordinary from what we would expect to see.
Operator: We'll move next to Caroline Latta with Bank of America.
Caroline Latta: I just wanted to ask, how are you guys thinking about the opportunity from the PLUS program and other federal government policy changes?
Jonathan Witter: Yes, Caroline, I probably won't do it justice here today. I think we see it as an important opportunity for the private student lending market to step in and help support families and students through sort of this time of transition. We gave some numbers on the last call of what we thought that could be worth in terms of annual origination changes to us when fully implemented. And I think we were thinking about that, if memory serves in the sort of $4 billion to $5 billion range. That will not all be sort of recognized on year 1. The PLUS reform phases in sort of each year. So if you're enrolled in a program and you've taken a loan before, I think it's July 1 of next year, you're grandfathered in under the old program. So that means it's really next year's undergraduate freshmen and graduate school first years that are sort of under the new program. So you have to sort of build it up over time based on the average length expectancy of sort of each of those programs. But if you go back and you look at sort of the details we provided on the last call, I think you'll get a pretty good sense of that.
Caroline Latta: Awesome. And then maybe just a follow-up. Are you seeing any differences in how graduate loans are performing versus undergraduate loans in terms of like entry into delinquency and roll rates?
Jonathan Witter: Yes. We have a number of different grad programs. It is an apples-to-oranges comparison. All the different programs perform differently. But all of them are sort of governed under the same kind of return and lifetime loss thresholds and standards that we hold. So while the timing and the patterns might be a little bit different, the underlying sort of decision and governance matrix and framework is the same. So yes, they're different on the surface, but we like those loans every bit as much as we like our other loans.
Operator: This concludes the Q&A portion of today's call. I would now like to turn the floor over to Mr. Jon Witter for closing remarks.
Jonathan Witter: Chloe, thank you, and thank you to everyone who joined today. We appreciate your ongoing interest in Sallie Mae. We look forward to speaking with all of you at the upcoming Investor Forum, which we will schedule here in the weeks ahead, but will happen before the end of the year and obviously look forward to continuing the conversation as well next quarter. With that, Kate, we'll turn it over to you for some closing business.
Kate deLacy: Thanks, Jon. Thank you all for your time and questions today. A replay of this call and the presentation will be available on the investors page at salliemae.com. If you have any further questions, feel free to contact me directly. This concludes today's call.
Operator: This concludes today's Sallie Mae Third Quarter 2025 Earnings Conference Call and Webcast. Please disconnect your line at this time, and have a wonderful evening.